Operator: Ladies and gentlemen, thank you for your patience in holding. We now have your presenters in conference. Please be aware each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for your questions. At that time, instructions will be given as to the procedure to follow, if you'd like to ask a question. It is now my pleasure to introduce, Mr. Paul Alexander.
Paul Alexander: Thank you, David, and good morning, everyone. Welcome to our second quarter earnings conference call. With us today are Tom Falk, Chairman and CEO, Mark Buthman, Senior VP and CFO and Mike Azbell, Vice President and Controller. Here is the agenda for our call. Mark will begin with a review of second quarter results. Tom will then provide his perspectives on our results and the outlook for the full year. We will finish with Q&A. We have a presentation of today's materials in the Investor section of our website which is www.kimberly-clark.com. As a reminder, we will be making forward-looking statements today. Please see the risk factors section of our latest Annual Report on Form 10-K for a further discussion of forward-looking statements. We will also be referring to adjusted results and outlook. Both excludes certain items described in this morning's news release. The release has further information on these adjustments and reconciliations to comparable GAAP financial measures. Now I will turn it over to Mark.
Mark Buthman: Thanks, Paul and good morning. Let me start with the headlines. First, we achieved organic sales growth of 3% led by 9% growth in K-C International. Second, we increased adjusted earnings per share 8% driven by organic sales growth and strong cost savings. Third, we are on-track with our overall capital plan, including working capital, capital spending and returning cash flow to shareholders. Now some details for the quarter. Second quarter sales were $5.3 billion and was even with last year. Underlying organic sales rose 3% with increased fines of 2% and higher net selling prices of one point. While sales in connection with our restructuring activities reduced sales by 2% and unfavorable currency rates reduced sales by a point. Second quarter adjusted gross margin was 34.5%. That’s up 90 basis points from last year. The increase was driven by organic sales growth and $80 million of FORCE cost savings, partially offset by $30 million of input cost inflation. I am really pleased with our continued momentum with FORCE. We delivered at least $80 million of savings in each of the last four quarters and we are now raising our full-year target to $300 million to $350 million of savings for the year. That ranges $50 million higher than our previous expectation and will help offset additional currency headwinds that Tom will talk about in a minute. Moving down to P&L. Adjusted operating profit rose 6%, with an operating margin of 15.5%. That’s up 70 basis points compared to last year. Strategic marketing spending was down $20 million and that comparison was impacted by a high level of innovation related spending in the second quarter last year and also some lower spending in Europe this year given the strategic changes We are making there. Foreign currency translation effects reduced operating profit by $15 million and transaction effects further negatively impacted that comparison. The second quarter adjusted effective tax rate was 31.8%. That’s up from last year but in line with our full year target of 30% to 32%. Equity income was up 28% as K-C de Mexico had another quarter of excellent performance. So, putting it all together, second quarter adjusted earnings per share was $1.41. That is up 8% year-on-year. Now, turning to cash flow. Cash provided by operations in the second quarter was $576 million, compared to $740 million last year. The decrease was driven by higher tax payments, pension contributions and severance costs in Europe. So, halfway through the year, we are on track with our plan and expect our cash generation to improve sequentially in the back half of the year. In terms of capital allocation, second quarter dividend payments and share repurchases totaled more than $600 million. We repurchased 300 million shares worth of KMB stock in the quarter. We now expect full-year sharing purchases of $1.2 billion. That's at the high end of our target range of $1 billion to $1.2 billion for share buybacks for the year. Now, to highlight just a few areas from our segment results for the quarter. In Personal Care, organic sales rose 3%, driven by volume growth. K-C International had another good quarter with organic sales up 8% continue to make excellent progress with our targeted growth initiatives across K-C international. Tom will provide some more details in a minute. Elsewhere in Personal Care, organic sales were down low single digits in North America, but high single digits in Europe. Second quarter Personal Care operating margins of 18.1%, rose 130 basis points. Improvement was driven by organic sales growth and cost savings, partially offset by cost inflation and unfavorable effects of currency. Now, before we leave Personal Care, let me give a brief update on the strategic changes we have underway in Europe. We've now stopped selling Huggies diapers in all markets except Italy and we closed our Spanish production facility in May. In terms of organization changes, we are about halfway through the total expected workforce reductions. So, in total, our European team continues to make good progress with the changes and they are on track to deliver their full year operating plan. Moving to Consumer Tissue, organic sales were up about 5%, with volume growth of 3% and higher net selling prices of 1%. Volumes improved in North America in K-C International, but were down slightly in Europe. Consumer Tissue operating margins were solid, although they were down 30 basis points versus last year. Turning to K-C Professional, organic sales were up 2%, driven by higher net selling prices. Despite flat sales volumes for K-C professional team continues to drive profitability. Second quarter operating margins of 19.1% were up 270 basis points year-on-year with strong cost savings and the benefits of pricing action. Lastly, Health Care organic sales were down 1%, driven by lower surgical and infection prevention volumes, Health Care operating margins of 13.5%, we're essentially even with year ago period and we've got more work to do Health Care profitability did pick up nicely from the first quarter. So, that wraps up my comments. To recap, we generated solid organic sales growth. We delivered strong margins and improved adjusted earnings per share and we continue to allocate capital in shareholder-friendly ways. Now, I will turn it over to Tom.
Tom Falk: Thanks, Mark, and good morning, everyone. I will briefly comment on our second quarter results and then I'll address our full year outlook. So, starting with the second quarter, I am encouraged by our strong cost savings, by our margin improvement and by our bottom line growth. As you can tell from Mark's discussion, we continue to perform well in these areas. Our organic sales growth is the one part of our results that was not totally satisfied with. As you heard from Mark, our performance was strong in K-C International with 9% growth overall, an excellent progress against our targeted growth initiatives. For example, in our diaper business in K-C International, our volumes were up 45% in China and 10% and both, Russia and Brazil, an improved net realized revenue brought total organic sales growth to about 20% in Brazil. Elsewhere in K-C International, we delivered double-digit organic sales growth in feminine care, adult care and baby wipes and organic sales were up 8% in K-C Professional within the K-C International space. So, our K-C International team delivered an excellent quarter of broad-based top line growth. They also improved their operating profit margin despite headwinds from currency and the conditions in Venezuela. On the other hand, volume was below my expectations for some of our other businesses in developed markets, including K-C Professional, Health Care and Huggies diapers in North America. Some of that shortfall was related to fairly sluggish category demand. I want you to know that our team is focused on driving better topline growth by fully taking advantage of our innovation and marketing programs and our sales capabilities. Our year-on-year comparisons also get somewhat easier in the back half of this year. So, overall, even with the more mixed topline performance in the quarter, there were a number of positives in our second quarter results and halfway through the year, I am encouraged with our overall progress. Now, let me move to the outlook. As we have all observed, the macro environment has become more volatile in the last few months with rapid changes in currency rates, interest rates, financial markets, economic growth rates and most recently the price of oil. Despite this volatility we will continue to execute our global business plan and that means pursuing targeted growth initiatives, launching innovation, reducing cost and returning capital to shareholders. We have made excellent progress with these strategies overtime and I expect that to continue going forward. On the innovation front, we will continue to roll out new and improved products in K-C International, particularly diapers, premium feminine care and adult care. In North America, we launched a number of innovations in the second quarter that will be fully supporting in the back half of this year. We will also be introducing innovations on our U by Kotex and Poise brands in the third quarter. In terms of our financial target for 2013, on the top line, we continue to expect full-year organic sales growth of 3% to 5%. Performance should be led by K-C International, which continues to target high single-digit growth. We now expect that currency will be a one to two point drag on the topline with recent spot rates implying a drag of about two points. Our previous assumption for an impact of 0% to minus 1% on the topline. The one to two point topline drag from currency should cause us similar negative translation impact on the bottomline, along with additional negative transaction effects. Despite the more negative current environment, we are also reconfirming our full year adjusted earnings target of $5.60 to $5.75 per share. We expect to overcome additional currency headwinds primarily from higher FORCE cost savings, as Mark mentioned. In terms of selling prices in this environment, in K-C International we will be opportunistic and improving our net realized revenue wherever were able to do. While we aren’t planning any significant new price increases in the near-term, if spot currency rates are maintained, I will expect that some increases will occur in some market. As usual our earnings guidance is based on foreign exchange rates effected over the balance of the year. As currencies hold their recent spot rates for the balance of the year, it's less likely that our adjusted earnings per share will reach the upper half of our guidance range. In the past few years, as currency rates have moved in one direction, we have also seen commodity cost that’s generally moved in the other direction and right now, we are not seeing that traditional pattern occur. So even though we expect currency rates to be more negative than our previous plan, our full year outlook for cost inflation continues to be $150 million to $250 million. In fact, if oil prices hold at over $100 per barrel, that could push cost inflation into the upper half of our estimated range. As I am sure you will, we will also continue to closely watch the relationship between currency rates and commodity costs going forward. So, to summarize, we have had a strong first half of the year. We are reconfirming our full-year top and bottom line growth objectives. While the environment has become more volatile recently, we remain optimistic about our prospects to drive profitable growth and to deliver strong returns to shareholders. So that wraps up our prepared remarks and now we will begin to take your questions.
Operator: Ladies and gentlemen, at this time, the floor is now open for your questions. (Operator Instructions) Our first question comes from Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford Bernstein: A couple of questions. One is around KCI. So it clearly looks like it has accelerated sequentially, but still kind of lower than historical levels. I wanted to get a sense from you guys whether that’s served by macro or an anomalous high growth rate before the distribution gains you had or competition. What is driving that slow down? Then, as part of that, can you give us a sense of consumer tissue clearly being driver recently of KCI growth, is that over a little bit in personal care, is that intentional or is that (inaudible), what are the implications there around capacity and margin, the way you run your business et cetera, so all of that K-C.
Mark Buthman: Yes. Good question, Ali. A couple of quick headlines and I would say overall, we entered some of the key growth markets. We talked about how things are going in China, which continues to go very well and is not really slowing down. Strong growth in Brazil despite some of the economic challenges in Brazil, our team there is executing very well and we are seeing good growth there, a lot of innovation coming in the back half on the Personal Care. Some of that launched in the second quarter in places Russia. You started to see that pickup. I'd say where we are seeing a little bit of maybe slowdown in the quarter was probably the more developed end of the developing markets. So, places like Australia and Korea were a little slower in the quarter. Those were also big businesses for us. They have a disproportionate impact. If you look at the segment split, I mean you still saw a strong Personal Care growth, but one of the swings in the quarter maybe wasn't as obvious, was that Venezuela did very well on Tissue and slowed down on Personal Care. It was really more of a question on what kinds of things did the Venezuelan government want to support in terms of the providing foreign exchange, so they really wanted to emphasize brining bathroom tissue and improving their in-stock position on that, so we had a very strong bath tissue quarter in Venezuela and not as much on the diaper front. Just to put that in perspective just that Venezuela swing was about a third of the volume growth in the KCI tissue number in the quarter.
Ali Dibadj - Sanford Bernstein: Okay. So, Venezuela really being the driving factor of that [CK] versus PC.
Mark Buthman: That's margin. I'd say that was the biggest swing factor that had. There wasn't really a fundamental shift in strategy.
Ali Dibadj - Sanford Bernstein: Okay. And then another a question which would touch on KCI little bit, but really around the price mix which always for us is a little bit less than we had hoped broadly. And, a couple of things we noticed, one about KCI pricing or price mix wasn't great. I want to get a sense of where you are versus inflation on that and kind of either competitive atmosphere. That's not allowing you to take prices as much as you'd like to. Then secondly, the North America mix number was negative in both segments, so give us a sense of why that is. And, I guess, the overarching piece of this is, (Inaudible) aren't going up. Do you guys have pricing power that really is always tied to commodity prices?
Mark Buthman: Yes. I would say broadly we will try to get more pricing benefit is through mix coupled with innovation. I mean, I would say most of our businesses around the world are not assuming that you are going to get routine list price increases. You'll get it when it's driven by commodities and that's probably you didn't see as much in KCI in the quarter. I mean, KCI had, if you look at price and promotion together, we had two points of improvement in Q2 versus three points in Q1, and so it wasn't remarkably different than what we were expecting going in. We are probably more focused on using our trade funds more effectively in KCI. Now it will be a place that we will count that as some price improvement as we roll forward. Beyond that, we'll get some [price] big currency swings in KCI and we saw some of that in Brazil the first half and in that will play out. If you see big currency swings, eventually you will see some price that moves there as well. On the North American front, we typically have some negative mix built in as more of the categories moved to the larger format tax, but beyond that there wasn't anything else that was going on there that was a big driver.
Ali Dibadj - Sanford Bernstein: Okay. So, no extra competition really got any of this from a pricing mix perspective?
Mark Buthman: No. I wouldn't say so.
Ali Dibadj - Sanford Bernstein: Okay. Thanks very much, guys.
Mark Buthman: Thanks, Ali.
Operator: Our next question comes from Gail Glazerman with UBS.
Gail Glazerman - UBS: Just a personal account on the volumes? Can you talk a little bit about what's going on in fem care and is that a trend that you would expect to continue?
Mark Buthman: No. The fem care volume in the U.S. was tougher comp. Last year we had double-digit growth, we had some pipeline filled with some new innovation that was launched and so that was more the comparison. Our shares were pretty stable, sequentially, so we didn't see much change and so we are still seeing good growth on U by Kotex and a little bit of weakness on our traditional Kotex, but we've got some good innovation coming across both of those platforms in the coming quarter, so we do feel good about our fem care plan overall.
Gail Glazerman - UBS: Okay and in terms of Europe, can you just remind me, there was reference to solid performance and contributions from non branded business. Is that something that rolls off as we enter the second half or at what point would you expect to see that business go away, if at all?
Mark Buthman: We picked up some private label contracts a year ago and so we are still seeing a favorable comp of those and those will roll off in the second half of the year. We will keep some of it in Italy, but probably we will shed some of that business as we have exited facilities.
Gail Glazerman - UBS: Okay, and in terms of North America, would the pricing benefit you saw in that this year in the quarter, how much of that would have benefitted the quarter versus what you had expected to see in the second half?
Mark Buthman: Well, we took some desheeting in the quarter that will roll into the second half and what you will see is probably more positive price in the second half in tissue in North America and less volume because we count volume in thousands of sheets. So you will see a volume drag and a positive price which net net, for us, works out to be a positive.
Gail Glazerman - UBS: Okay, and just one last question. Speaking on North American tissue. Last quarter you talked about seeing some benefit as a competitor was struggling to put stock on the shelves. Has that started to reverse yet? Or is that something that you are able to maintain?
Mark Buthman: I think we have heard and again, this is more anecdotal that they have returned to normal service and promotional levels by the end of the second quarter. Albeit, they are at a lower market share than earlier. So we are pleased that we picked up share in this environment, private label did as well and we will be watching the competitive environment in the second half. In the mean time, we have got some great innovation coming with some improved Cottonelle there. So we have got a big launch of our Cottonelle Moist. Some improvements on Kleenex. So actually a lot of news in the tissue category coming in the second half that we feel pretty good about.
Gail Glazerman - UBS: Okay, and just one last question on inflation. You mentioned oil. I was just wondering if you could talk a little bit about Pulp. It seems like they are starting to be mounting pressure. Is that something that you would expect in your second half or not?
Mark Buthman: Well, our northern softwood guidance for the year really didn’t change in the quarter. We still call it $8.90 to $9.10 on average for the year ago. It will be above that in the third quarter but we buy a lot more Eucalyptus than northern softwood and we are actually seeing Eucalyptus trend down just a bit sequentially. So we do think that with the weaker Brazilian currency given that all the Eucalyptus producers sell in dollars, there is less need for them to get the price increase in this kind of environment. I think the other offsetting factor that we don’t talk as much about is recycled fiber. We by about 1.2 million tons of recycled fiber a year and that’s actually been softer market. So overall fibers is tracking pretty close to our expectations.
Operator: Our next question comes from Connie Maneaty with BMO Capital.
Connie Maneaty - BMO Capital: Good morning. Could you talk a little bit about the organic sales growth pickup you expect in the second half? Given that KCI sales growth has trended about 9% for the last six quarters, this really suggests the pickup in developed markets. So where is it coming from? What are the new products you are especially focused on? And I hate to ask, but what is Cottonelle Moist?
Mark Buthman: Well, if you look at the Cottonelle, we have got a new talk about design that would be a moist bathroom tissue product. It’s a great product, great category, growing rapidly. We will have to get you some, Connie, to try it but that’s probably one are that we think would be a good growth opportunity. We have got our new Sung and Dry diaper in market. We are going to put even more muscle to be competitive behind that in the second half and we would expect to see a better baby and child care result overall in the second half than we had certainly in the second quarter. We have got some new Poise light bladder leakage products out as well. We have got a new Depend campaign that we are launching, that for those of you that are watching the British Open this weekend, have got to watch Tony Siragusa pitching for protect your manhood with some new Depend Guards. So we will have those products that are going to start going. So shifting to some of the B2B businesses. We also would expect to see an uptick in KCP in the second half. We really weren’t satisfied with our growth in North America in KCP in the second quarter. Some of that categories was with manufacturing being a little weak and some of the laboratory services there that even make business a little weak, but we still expect to see a better performance there in during the second half.
Connie Maneaty - BMO Capital: Okay. And, also could you comment on the uptick in forth saving, whether the projects that are kicking in to contribute $50 million extra. Then also just very generally, how do you manage to take out hundreds of millions of dollars of cost every year without hitting some sort of institutional to peak?
Mark Buthman: Well, I mean, really, Connie, our teams are energized about the cost savings initiatives and each of our teams around the world is looking at that as a way to fund our future growth, so by identifying and delivering cost savings in areas that are our consumers and customers don't care about, we're able to invest more in R&D, investment in strategic brand building and help grow our business overall, so we really view that as part of the healthy growth model for our business going forward. And, so the big areas that we continue to work on, we started up a global procurement organization several years ago. We are continuing to build capability in that function around the world and sharing information better, doing more cost structure modeling of our suppliers to understand where we are adding cost and if we change our specification, we can deliver a better value overall, so that's a big bucket for us. We are doing a lot on productivity and best practice sharing, so we measure productivity in the same way around the world and are sharing best practices. The great news is that are our best performing facilities are getting even better, so we still see a healthy gap for us to attack between our best performing facilities and our worse performing facilities. Then the third area is product specification changes looking at the design of our products, how do we designed for value where we are taking things out that the consumer isn't concerned about, so all three of those areas contributed again in the second quarter and we've got a pretty robust pipeline of ideas for the future that we are going to go chase that give us confidence in our ability to deliver at that level.
Connie Maneaty - BMO Capital: Great. Thanks so much.
Operator: Our next question comes from Lauren Lieberman with Barclays.
Lauren Lieberman - Barclays: Thanks. Good morning. I had a question about the strategic spending. So, first off, down $20 million in the quarter that was kind of how you had planned things out and if you are expecting that to ramp up in the second half as the innovation activity picks up.
Mark Buthman: Yes. Absolutely. We were a little heavy last June. The second quarter was the fem wellness in the U.S. and then obviously exiting some categories in markets. We didn't spend as much in Europe as we would have last year, so those are the two big drivers of the change in the quarter, but we've also had quite a bit of innovation coming in the second half and I would expect us to spend more on strategic A&P, sequentially than we did in the first half. We will get a little bit of a currency benefit in some markets. If you look at it from our standpoint, but we still think for the full year, we'll spend at least as much as a percent of sales and maybe even a bit higher on strategic A&P this year.
Lauren Lieberman - Barclays: Okay. Great. The Poise wellness launch and it's now been a year, so where does that stand in terms of distribution? What Try On repeat has been like and so on? Because you guys have certainly have a track record of trying to cover new ground in some of your categories since it takes a bit longer to take hold.
Mark Buthman: Yes. I think, we've seen all over the world kind of mixed results. In some markets it's going great and in some markets it's one of the leading [skews] in category. In North America, it's a little slower than we would have expected and so we are regrouping and trying to make sure we know what the next steps are us there, but we do think there is a big insight here and a great consumer need and we will keep working at it. In the meantime, we've got some great growth stories around the world to continue to drive.
Lauren Lieberman - Barclays: Okay. Great. And my final thing was just Viva and shelf space, I think last quarter you guys had said you were just about back up to historic levels. Is that still true or was there more to go?
Mark Buthman: Well, I think Viva is about on track with our expectations so far this year in the U.S. And, again, we would continue to see that opportunity there for innovation and growth going forward, but right now we are managing that at about the level that we can support.
Lauren Lieberman - Barclays: Okay. Great. Thanks so much.
Operator: Our next question comes from John Faucher with JPMorgan.
John Faucher - JPMorgan: Hi. Good morning. You guys talked about the adult market in the U.S. growing sort of currently high-single digits there. I guess, as we look out over the next couple of years, what do you think is a more sustainable growth rate for that? Can you talk about category penetration versus the overall size of the category and how you are really thinking about that longer term from a growth standpoint? Thanks.
Mark Buthman: This is a great question. Even today, that’s a relatively underpenetrated category in the U.S. So we think relative to the possible needs stay we may be something line 40% penetrated in the U.S. Now they may be using other products for institutional format but there is other ways that we really think we can drive growth in this category. Then broadly, as you look outside the U.S., the birth rate in many parts of the world is even lower than is in the U.S. and the populations are aging and people are living longer. So that’s why we are so excited about the global growth prospects for our Depend business and our Poise business. So we think there is a lots and lots of growth ahead for those brands as we move forward.
Operator: The next question comes from Caroline Levy with CLSA.
Caroline Levy - CLSA: I wondered if you could whether your China plant opened?
Mark Buthman: Yes. I was there and cut the ribbon. I think it was in April. So China plant in Nanjing is doing well. It had a great start up with a lot of support from our Korean team. It was over to help with training and start up support. It had one of the best start ups in the history of Kimberly-Clark. So they are off to up and running and they have built a great capability and it is going to support the growth in China. They kept reminding we are need even more capacity at the rate our business is growing. So I think that will be a trip we will be making pretty regularly here in the future.
Caroline Levy - CLSA: That’s great. I am trying to understand whether this is transformationals for margins and growth opportunity? Or whether this is just a step in the right direction?
Mark Buthman: Well, I think getting to local manufacturing will certainly help the margin picture in China. On the other hand, when you are growing at 45%, there is still going to be importing some product to keep up with that growth rate. So it’s a balance but China is hitting its expectations for our plan this year where we are 85 cities now with Huggies versus 80 last quarter and still expect to get to 90 by the end of the year. The team over there is executing at a very high level.
Caroline Levy - CLSA: I know that you have gone to a more mainstream product from super premium but I am just trying to understand if the opening of local production offsets any potential any margin hit from selling more mainstream just as premium? Also, if you are taking a lot of market share, just given your growth rates, it was really high.
Mark Buthman: Yes, I think we picked up a couple of share points in China over the last year. It’s a big market and so we are coming off a smaller base. So as we are moving in to participate in a broader segment of the category that’s part of it. I will also tell you, we are launching a super, super premium product to come at the very top end of the market. So we will actually be creating a new tier for those consumers that want the very best for their babies. So we have got a lot of action in China and are really trying to make sure we are available in all the formats that a mom might want.
Caroline Levy - CLSA: That's very helpful, thank you. Just on Brazil, there were some categories in consumer but more beverage related that seemed to have taken a big hit. Did you have any reaction from consumers that you had noticed in Brazil? So aside from currency issues, were there any delivery problems? Was there any change in the takeaway trends in your business?
Mark Buthman: None. Really nothing to speak of. We are still expanding and growing in Brazil as well. So actually our board was in Brazil for a week in June. We cut the ribbon on a new plant in the North Eastern part of Brazil. So we are expanding our capability in that market as well and seeing the growth results from that.
Caroline Levy - CLSA: And able to take some price to offset currency then?
Tom Falk: Yes. We took some price in the first quarter, really following some of the currency change that ran up in 2012. We are able put that into the market. The encouraging thing was, you saw the double-digit volume growth in diapers even with the double-digit price increase. So it was a good result, good execution by the team there.
Caroline Levy - CLSA: Last one. Thank you so much and this is North America. It looks like you did loose some share and you may tucked on this in diapers to Proctor. Is there enough innovation coming in the back half, you think that could shift? Do you see any hope for the market as soft to be a little better in the back half?
Tom Falk: In diapers and our share calculation, we were flat sequentially and down about a half a point year-over-year and Lowe's was a big share gainer. Actually Lowe's took share from Pampers and from Huggies in the quarter. There was some hot promotional price points in certain channels that drove that and so we are going to make sure we are competitive and responsive to what's happening in the marketplace and we have got some terrific innovation that's launching that we are going to make more noise about in the back half so we would hope to recover some of those share impacts in the back half of the year.
Caroline Levy - CLSA: Thanks so much.
Operator: Our next question comes from Olivia Tong with Merrill Lynch.
Olivia Tong - Merrill Lynch: Thanks. Just wanted to touch a bit little more on organic sales growth, so you are at 3 to 5 to our target, what gets you to the 5 end of the range as opposed to the 3 end of a range?
Tom Falk: Well, I think this year quite frankly it'll be a bit of a challenge given that half of the year is already in the books at the three end of the range. But you if looked at it broadly and said, our categories are growing 3% to 4%, so to get to five you've got to take some share, you got to have some innovation beyond your core category growth. So, we think that's doable, but we also would say 3 to 5 is probably the range to plan for and we want to deliver that consistently over a long period of time.
Olivia Tong - Merrill Lynch: Got it. Thanks. Then you typically run through how many categories where you gain shares flat versus down. Can you run through that quickly?
Mark Buthman: Yes. Maybe I will turn that over to Paul, but in the U.S. I think we were flat for up year-over-year and 5 off 8 or something like that. Paul, is that about right?
Paul Alexander: Yes. That's right and we were down in three categories in those three where diapers as Tom has mentioned down about half a point, also down about half a point in facial tissue and about a point in child care.
Mark Buthman: Very high share base we've gotten nearly mid-60s kind of share there.
Olivia Tong - Merrill Lynch: Got it. Then just following up on child care, what drove the volume decline? Is that related to weather since you called out the Little Swimmers or is it something more systemic there?
Mark Buthman: I really hate blaming anything on the weather, because it sounds kind of lame but we did have a cooler weather spring this year and we had a hotter drier spring last year. I think that's part of it, so Little Swimmers was the little softer this period of time. We don't think we are still digging into that to understand what's going on there and will we see that business come back over the summer month, so that's part of it. I think the diaper category overall, the birth rate was lower than we expected or longer than we expected. That's kind of piling up a little in the child care category, so that's a little weaker. So, those were some of the factors that drove that and so that's one that we are kind of big into a little bit in the second half as well.
Operator: Our next question comes from Alice Longley with Buckingham Research.
Alice Longley - Buckingham Research: Hi. Good morning. Did I catch you saying earlier in the call that your categories in North America were sluggish in the second quarter? Did you mean they were slower than in the first quarter? And, if so, why would that be?
Mark Buthman: Yes. I think in K-C Professional in particular you see things manufacturing both particularly seeing a little bit slower. We have a small scientific business that sells a lot into laboratories to do research and that one segment seems to have been a little bit more affected by the sequester, where any government funded research is more discretionary has been closed down, so that was a little weaker. Things are related to welding in general, where we sell a fair amount of supplies into that space were a bit slower. Other segments like lodging, we are okay. So, you saw that was pretty stable. Health Care, which affects both, our Health Care business and our KCP business, was less negative in the second quarter but was still negative in terms of overall surgeries. I think, year-to-date, the best data we have seen that surgeries are down about 3% is more like more of that in the first quarter than in the second, but still a drag year-on-year.
Alice Longley - Buckingham Research: Okay, so there wasn't any particular weakening in the categories for tissue or personal care?
Mark Buthman: I think tissue and personal care or probably the child care segment was weaker than we had expected and it's a bit of a seasonal business because of the impact of Little Swimmers. So it's not always fair to compare that sequentially because, you will probably see, we sold more Little Swimmers in the second quarter than the first quarter but that's not necessarily a value comparison.
Alice Longley - Buckingham Research: So that would probably be weather, so that wouldn’t persist into the second half?
Mark Buthman: Yes.
Operator: The next question comes from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research: I have a question with regards to tissue margins. The negative leverage that you have in the quarter, considering that you have better savings, you have the volume benefits from Georgia Pacific, you have positive pricing and the commodity impact seems to be coming on the lower end of your forecast. So why is it that margins fade in the last quarter and we have this margin contraction in this quarter?
Mark Buthman: Yes, a good question, Javier. Two key drivers of that. One is, facial issue is our weakest in the second quarter and that's a higher margin item than the overall basket in consumer tissues. So obviously we do pretty well in the fourth quarter and first quarter with cold and flu. Second quarter, you have got spring allergy but it's an easy or light facial tissue quarter. So that affects your margin mix in that segment. The second driver was, in Europe, we had quite a bit of startup activity around some new Andrex product improvements that we are preparing. That was a drag on margin in the second quarter versus the first. That asset went down in the second quarter. I was in Europe in late June and went to the plant to see the new process and we are excited about the new product we are going to be making in the balance of the year but it did cost us some margin in the second quarter.
Javier Escalante - Consumer Edge Research: Thank you, and changing businesses, on healthcare, it has been negative for the past four quarters. Would you explain us what part of the business, I know that it's kind of like a conglomerate of different businesses, but what is happening there? Why we have four quarters in a row of negative sales growth? Thank you.
Tom Falk: Yes. A couple of things. The underlying category trends we have talked a little about that the number of surgeries has been less than we have thought. I think everybody in the healthcare space is trying to figure that out. I think the best guess we have heard is that it's more and more consumers are in high deductible, consumer directed healthcare plans and that that's part of it. I think the other part is that you are seeing more of a push to alternate therapies before surgery. So rather than getting your knee sculped, go do PT for a couple of months and see how that goes before he puts in the hospital and cuts your knee open. So that's part of the of it. I think the other part that, as a synthetic nitro prices ran up last year, we were pretty aggressive on pricing on disposable exam gloves, and as a result, we have shut some volume in that process but it was lower margin volume and while it hurts your topline comparison, it's the right thing to do to get that business moving in the right direction.
Javier Escalante - Consumer Edge Research: Understood, and finally on China. If you can tell us what is the organic sales growth, not jus the volume just to understand what is the impact on price mix from the roll out of the mid-tier diaper, if you could please?
Tom Falk: Yes. I mean there is not much price mix in that number. It's a pretty clean number. I will ask Paul if he wants to give you a more precise estimate.
Paul Alexander: Yes, Javier, On a rounded basis the 45% volume growth for diapers would have been 40% plus on total organics. So, as Tom said, not much difference there.
Operator: Our next question comes from Jason English with Goldman Sachs.
Jason English - Goldman Sachs: Hey, good morning, folks. Thanks for the question. We closed on China. So I guess I will kind of pick that back up. You have been having a trend of success in the diaper market in China. We are hearing of new competitors or the existing competitors plan to get more aggressive, Kao, LG, Pigeon and even Biostime, who has had good success in formula trying to come out in diapers as well. Should we be concerned about this or is this just more in your ways in par for the course?
Mark Buthman: Everybody wants a piece of China, so when you go over there you will find every company you've ever heard of is trying to build the business there and so I think we are competing pretty well, but it's a big market and there is room for lots of competitors, but we also expect at some time it will rationalize. There's still hundreds of diaper brands that are local in the Chinese market. There's probably thousands of fem care brands as you add them up all across China. In the mean time, we are aiming at mom. We are doing well in the digital space in China, which is increasingly important channel, so we actually have a higher share in e-com in China than we would in the measured outlets and so we really feel like we have got underpinnings with great products, great brands and the team is executing pretty well on the field right now.
Jason English - Goldman Sachs: Thanks. Back to U.S. real quick. Tissues, the facial tissue business, we saw the effect of (Inaudible) in the Nielsen data this past period. We also saw your market share take a pretty substantial step back. Is that just temporary on your transition here to the new [count] or is there the reason to be worried about price gaps going forward?
Mark Buthman: We usually see a dip in second quarter from first quarter, because there is a lot of promotion around cold and flu and we don't promote it heavily in the spring, because the consumer need isn't as great and so we typically see a dip in second quarter from first quarter, so little deeper than last year so you are down year-on-year, but we would expect that to come back from a dollar share standpoint in the back half
Jason English - Goldman Sachs: Great. Thanks a lot, guys. I will pass it on.
Operator: Our next question comes from Bill Schmitz with Deutsche Bank.
Bill Schmitz - Deutsche Bank: Hey. Guys good morning. When we are assessing the margin benefits from the European divestitures because obviously you are exiting zero margin businesses. Then I just kind of look at the SG&A cost and yes they were down year-over-year in dollars. Is that a trend that might continue throughout the year as the European thing starts to get some more attraction?
Mark Buthman: Yes. You are starting to see some of the margin improvement year-on-year in personal care from the European exit, so that's part of the year-on-year increase from that standpoint. We are well through the overhead savings. We should see a bit more of that flow in, in the back half, but I don't know if it will be big enough that we will call out in the G&A numbers but we'll expect to see the overall margin improvement from Europe will be a part of the story this year for sure.
Bill Schmitz - Deutsche Bank: Okay. Great. Then maybe I'm looking at the wrong data, but even with this number that I have, so it's up quite a bit year-over-year. Am I just looking at the wrong stuff or you guys kind of looking at the forward curve?
Tom Falk: No. I mean I think the stuff we see, I don't Paul if you've got the specific data on year end? We're spending about $800 average for the year and I think the July price was [8.15] or something like that, so we are in the ballpark on that like that. It's up a bit. I think last year's average was 795?
Paul Alexander: Yes. That's about right. I think, Bill, in the first half of the years it is up year-over-year and Tom's comments earlier were referring that from here forward we are starting to see prices come back down in July and August.
Bill Schmitz - Deutsche Bank: Okay. Got you. Thanks so much guys. I appreciate it.
Operator: This time we have no other questioners in the queue.
Paul Alexander: All right. Thank you, David. We will wrap up with our comments from Tom.
Tom Falk: Very good. Well, once again we are pleased with the execution in the first half, not satisfied with the top line and expect us to see us continue to execute our global business plan and deliver value for shareholders. Thank you very much for your interest and support of Kimberly-Clark.
Paul Alexander: Thank you.